Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Claudia Pedretti: 00:04 Good morning, ladies and gentlemen, and welcome to our full year results twenty twenty twenty one, media and analyst presentation, here live in Zurich and on the webcast. My name is Claudia Pedretti, I’m Head of Investor Relations, and I'm happy today to be here today with our CEO, Peter Boone; and our CFO, Ben De Schryver. 00:26 Please be reminded that information given during this conference contains some forward looking statements which reflect the best of our current knowledge, while actual results may be different. Furthermore, we would like to inform you that this webcast is being recorded. 00:43 This is the agenda for today. Peter will present to you the highlights of the full year twenty twenty twenty one and then Ben will update you on the financial results. Followed by Peter's remarks on strategy and ESG before sharing the outlook with you. 01:01 We will finish the webcast and the conference with a question and answer session. Please note that if you want to ask a live question on the phone, you need to dial in by your phone. Instructions will be given once more to you at the end from the operator. And with that, I hand over to Peter.
Peter Boone: 01:20 Thank you, Claudia. So, good morning ladies and gentlemen. Welcome to our full year twenty twenty one results conference. You saw it mentioned on the opening slide, this is a special year for Barry Callebaut and of course, also for myself. 01:40 First of all, we celebrate our twenty fifth anniversary this year and although I'm part of Barry Callebaut already for nine years, and part of the executive committee for nine years, and probably present for the first time as a CEO of the group. 01:56 It's also special here as we are able to welcome you here in person this year. And this makes me in particular happy, as you maybe know, I was the old Chief Innovation Officer at the start of my career in Barry Callebaut. So, it offers us the opportunity to share some innovations with you to let you taste it at the end of the meeting, something to look forward. 02:24 So, we are happy to share today that we have returned to a healthy growth path. As anticipated, we achieved over the fiscal year and is still a volatile environment, a strong volume recovery. The disciplined execution of our smart growth strategy led to good profitability and a good strong cash generation. 02:50 Sales volume went up with a healthy four point six percent in all regions and all key growth drivers contributed to this success. Strong volume recovery and a positive product and customer mix enables operating profits, our EBIT to grow significantly faster than volume, which was up eighteen point nine percent in local currencies. 03:15 Last but not least, we also continued to strengthen our balance sheet and reached a strong free cash flow of three fifty five million Swiss francs. We will share later in more detail, but at least I hope you agree a set of good results. 03:35 This chart I assume you have seen before. It shows our volume development per quarter for chocolates and for cocoa. Overall, of course, versus relatively weaker competitor, has seen a very strong recovery is still a volatile environment with ongoing COVID-nineteen restrictions and continued limitations for some distribution channels. 04:01 It was in particular, nice to see on this graph, is that our chocolate business showed strong growth of six point five percent growth in twenty twenty one, outpacing the underlying markets in all regions and even surpassing the pre-pandemic volume levels of twenty eighteen and nineteen. 04:23 In a volatile market, we continue to focus on smart growth. For in-turn positive in the second half, and that helped us to limit a decline to two point six percent for the year on a review. Overall, we believe the resilient results. So, let's have a close look at the growth drivers on the next slide, which all contributed to these great results. 04:49 And let me start with Gourmet & Specialties, because Gourmet & Specialties led a return to healthy growth with an impressive eighteen point three percent. This is a positive outcome of our approach to seize the crisis as an opportunity to sharpen our business model, by broadening our customer footprint, adding capabilities and deepening our geographical reach. It should continue with the further easing of COVID-nineteen measures globally. 05:20 Then emerging markets, emerging markets volume grew nine point seven percent driven by key markets like Russia, Brazil, and India. Long-term partnerships and outsourcing contributed a solid four point five percent growth through the recovery. The over thirty two thousand additional tools came from existing partnerships saw the growth of existing partnerships and new outsourcing deals, across all regions. 05:53 As you can see on this slide, it was also a year where we were not short of important milestones. They all added up to consistent and continued growth path of the group. What I like to see we expanded our customer and geographic footprint laying in the grounds for future growth. We opened the new chocolate factory in Baramati, India. The world’s second most popular country and one of the fastest growing chocolate markets. 06:21 We opened a new state of the art factory in Norderstedt, which will serve as a regional hub to address the rapidly growing chocolate market in South Eastern Europe. And this new factory of will supply Atlantic Stark, with whom we signed a long term outsourcing agreement in the last year. 06:40 We also opened the third factory in Kaliningrad, Russia. Russia becoming an important market for us. We opened a chocolate academy in China, in Serbia, and in Dubai, growing a network now to twenty five chocolate academies around the world. And with the opening of the chocolate box, in Lokeren, Belgium, the world largest and most sustainable chocolate distribution center, we are further building our cost leadership and accelerating our customer service. 07:12 We also kept making progress on our plan to make sustainable chocolate the norm. A topic which is very close to my heart, both Sustainalytics and CDP recognized this for the third consecutive year as a leading company on sustainability and carbon reduction. Through our innovation, we are catering to because unit trends of today and making way for the consumer trends of tomorrow. 07:39 You can cater now to the growing consumer demand for plant based alternatives. Plant based, a big segment and a segment here to stay. With the first fully segregated dairy feed chocolate factory we opened in Norderstedt, Germany. 07:54 The pandemic accelerated consumer interest in their own health as well as in the health of the environment. We call this mindful intelligence. Among other things we launched in Taiwan, a new chocolate drinking powder with less sugar and a low carb sustainable chocolate with no added sugar in Japan. 08:15 And it's not only production innovation we bring. We also reinvent ourselves in how we interact with our customer. In the past fiscal year, we continue to drive the full potential of digitalization. 08:27 We deal with a number of professional strength where our chocolate economy centers offers many courses to place fully virtual. Personally, also very proud of what we do to shape the future of our industry. 08:43 To cater to the trends of tomorrow, we leverage our deep scientific knowledge of the cacaofruit and a fruit supportive for health effect by introducing the first nutraceutical fruit drink called. Elix. There’s health benefits, but also tastes great as you will taste lately I hope. And those in the room, will therefore have the opportunity to taste it themselves. 09:05 Our global Gourmet brands are leading on innovation trends driving creativity and craftsmanship and providing sustainable solutions for the future, but instead of me talking, let us show a video that brings a live [indiscernible]. [Audio/Video Presentation] 11:14 Yeah. Amazing video, making me very proud on the one hand, of course, of the great results, but also the many, many great achievements of the Gourmet teams around the world. And with that, let me hand over to Ben.
Ben De Schryver: 11:28 Thank you, Peter. Good morning, ladies and gentlemen. It's a pleasure to be back here in front of a live audience to present the financial review for full year twenty twenty twenty twenty one. 11:39 As Peter highlight, we had a strong volume recovery in a still challenging market environment. With a volume growth of four point six percent, we returned to a healthy growth path. Our sales revenue amounted to seven point billion Swiss francs, up eight point seven percent in local currencies, and therefore, our base volume growth on the back of rising raw material prices and positive product mix. 12:02 Operating profit EBIT increased by eighteen point nine percent in local currencies or fifteen point four percent in Swiss francs, compared to the prior year EBIT recurring and amounted to five sixty six point seven billion Swiss francs. 12:18 Net profits for the year grew by twenty four point two percent in local currencies and amounted to three hundred and eighty four point five million Swiss francs. Strong free cash flow generation continued and amounted to three fifty five million Swiss francs, compared to three seventeen million Swiss francs in the prior year. We get back in more details in the coming slides. 12:40 Let's first take a look at our regional performance on Slide thirteen. All regions count are based on the underlying markets and contributed to the healthy growth volume and good profitability. 12:52 In Region EMEA, volume returned to its healthy growth path with five point five percent in a progressively improving market environment and is based on our efforts to sharpen our business model and broaden our geographic reach. 13:06 Both food manufacturers and Gourmet & Specialties contributed strongly to the recovery in a still challenging market environment. Thanks to these efforts, not only our volume recovered to a healthy growth plan, but also our profitability returned strongly. 13:22 In Region Americas, volume growth accelerated in the second half leading to a strong seven point nine percent volume growth in twenty twenty twenty, twenty twenty one. This was achieved, thanks to continued strong volume growth from our food manufacturers and accelerating volume growth in Gourmet & Specialties. Across the region, thanks to our sharpen business model and broadened reach. 13:45 Operating profit EBIT in the region showed strong resilience throughout the pandemic with an eight point four percent increase in the year on the review. The region continued to deliver healthy profitability. 14:00 In Region Asia Pacific, the good growth momentum continued with an eight point seven percent despite recently reinstated COVID-nineteen restrictions. Food manufacturers continued its solid and broad based growth, Gourmet & Specialties volumes growth accelerated supported by global and local brands. The improved product mix in the year on the review was driving the strong EBIT growth in local currencies. 14:27 In our global cocoa business, volume declined by two point six percent. The focus on smart growth mitigated the impact of the unfavorable market environment. However, operating profiting EBIT was impacted by higher energy cost in West Africa, as well as higher global freight cost. Excluding these additional cost EBIT in local currencies grew by two point two percent. 14:52 Going back at group level, let's take a look at the gross profit bridge on slide fourteen. The volume recovery in the second half had a strong positive impact on our gross profits. The strong volume recovery in Gourmet clearly boosted the mix effect, but also the high demand for value added products in the industrial business contributed a lot. 15:13 The cocoa business had a positive contribution, which is a testimony of the resilience and reduced dependency in a market environment that remained volatile and challenging. Please note that the currencies had a strong negative translation effect of thirty two million Swiss francs. 15:32 The cocoa combined ratio shows as you know, the relationship between the market prices of cocoa butter and powder in relation to the underlying cocoa bean price. This is a forward looking curve; results are normally seen over six to nine months period. This is also the European ratio, which is the most relevant. We run a global business, and as you know, the combined ratio gives only a broad indication on the industry's profitability, but it does not reflect some important variables such as country differentials and/or the LID. 16:06 As mentioned before, the market environment remains volatile, with global cocoa supply and demand out of balance due to good crops in the main cocoa producing countries on the one hand and the decreased demands as a result of COVID-nineteen pandemic on the other hand. 16:22 The average combined ratio remains about stable, compared to prior year, with very resilient cocoa powder prices, while cocoa butter prices were on the pressure related to the lower demand for chocolates due to COVID-nineteen, the pandemic. The smart growth execution and our improved position, thanks to our cocoa leadership project helped us to absorb these market fluctuations better, while we are not completely immune against them. 16:49 Now, let's take a look at the operating profits development on slide sixteen. We delivered a strong EBIT growth in local currencies of eighteen point nine percent compared to priority recurring EBIT. Currencies continued to have a negative impact of seventeen million Swiss francs, resulting in an absolute EBIT of five hundred and sixty seven million Swiss francs. 17:12 The strong volume recovery and our focus on smart growth contributed one hundred fifteen million Swiss francs additional gross profit. As expected, SG and A costs came back with a return business momentum, following the subdued levels in our prior year due to COVID-nineteen restrictions. However, we contain good cost management, which is proven by the fact that the SG and A costs are at comparable level as pre-COVID in twenty eighteen, twenty nineteen at constant currencies. 17:44 In the next page, we show you the development from EBITDA to net profit for the full year twenty twenty, twenty twenty one. Financial items were stable around one hundred and one million Swiss francs, on the back of lower interest rate environment and reduced short term debt. 18:03 Income tax increased to eighty one million Swiss francs. Largely in line with a higher net profit and the group's effective tax rate amounted to seventeen point three percent. This resulted in a reported net profit for the year of three eighty five million Swiss francs, compared to prior year recovery and excluding the negative currency translation effect, the net profit amounted to three ninety seven million Swiss francs, an increase of twenty four point two percent. 18:32 On slide eighteen, you can see the long term developments of our key raw materials. Please be reminded that the vast majority of Barry Callebaut business is running on a cost plus model, passing on price fluctuations of raw materials. The volatility of these input prices normally does not affect our profitability. However, it has an impact on our working capital. 18:56 The terminal market price for cocoa beans remains volatile, and fluctuate between [indiscernible] per metric ton. On average cocoa bean prices decreased by seven percent compared to the prior year period. 19:13 World sugar prices increased on average by twenty two point three percent on the back of strong demand from China in combination with the a poor Brazilian crop. In Europe, sugar prices increased on average by three point six percent during the fiscal year on the review. 19:30 Dairy prices increased on average by eleven point six percent on the back of strong demands from Asia in combination with growing concerns about supply and logistics. As part of our smart growth strategy, we continue to focus on improving our balance sheet and free cash flow generation. So, I'm very glad to show you again strong adjusted free cash flow of three fifteen million Swiss francs on this slide nineteen. 19:57 Let me explain to you how we achieved this. As expected, working capital increased, however, at a slower pace than the group's volume growth. The effect of receivables increasing in line with regained business momentum was largely offset by higher payables and good inventory management. 20:16 Interest and income taxes amounted to hundred sixty three million Swiss francs, fourteen million higher than in prior years, as a result of higher taxes in line with the higher net profit. While financing costs remain roughly stable. We continue to invest in our capabilities, which enabled future growth and capital expenditures of two hundred and seventy five million Swiss francs was around the same level as in the prior year. 20:43 The reported free cash flow amounted to three fifty five million Swiss francs, as the effect of cocoa beans regarded readily marketable inventories, RMI, was positive this year compared to last years. 20:57 Our net debt was further decreased by eighty five million Swiss francs. This reduction was attributed to the early partial repayments of the Schuldscheindarlehen and the decision not to role forward commercial paper. The decrease however was partially offset by higher long term lease liabilities, which increased by seventy nine million. As a result of the opening of the group's global distribution center in Lokeren, Belgium and the relocation of our Head Office in Zurich, Switzerland. 21:29 Considering the beans, the cocoa beans inventory as readily marketable inventories, RMI, the adjusted net debt decreased by forty seven million Swiss francs to five hundred and forty seven million Swiss francs at the end of August twenty twenty one. 21:43 Now, let's have a look at the key balance sheet numbers and ratios on slide twenty one. Our net working capital increased to one billion two forty two million Swiss francs as expected on the back of regained business momentum. Our ROIC and ROE increased by one hundred sixty basis points to twelve point two percent and by one hundred and ten basis points to fourteen point three percent and a return close to pre-COVID levels on the back of improved mix, which was reflected in the higher operating profits EBIT. 22:14 As mentioned before, the adjusted net debt decreased further, leading to the adjusted net debt to EBITDA ratio improving to zero point seven times, compared to zero point nine times in the prior year. 22:28 The Board of Directors will propose to the Annual General meeting of shareholders, a dividend of two eight Swiss francs per share, which corresponds to a payout ratio of forty percent. To protect the health of our shareholders and employees, this year's annual general meeting of shareholders will take place once more without physical presence. Voting rights can be exercised electronically or in writing. 22:54 And with, I’ll the word back to Peter.
Peter Boone: 22:56 Thank you, Ben. So, let me share a few words on our long term strategy, and how we continue our growth path as a company. You probably know this slide by heart. It's a slide at least, we present and we work with already as long as I am with Barry Callebaut. And we will be staying close to as long as I'm a leader of Barry Callebaut. And therefore, we stay very consistent to our long term strategy. 23:30 We are a growth company, and we will remain a growth company. We will continue to focus on four strategic pillars. The four differentiator as which makes as different and make a standard part from our competition. Expansion, innovation, cost leadership and sustainability. Have we continue our growth path with a smart execution and focus on the return and on cash generation? 24:00 We are remaining very consistent in the long-term strategy, as a new CEO, I will emphasize the acceleration of the value letter. We want to be the preferred solution provider for our customers, and we know we have so much more value at it to offer than we do today to our customers. This acceleration will be achieved in various ways. 24:23 First of all, expansion, I see opportunities to further leverage our footprint across the globe from the fill up to emerging markets. Continuously broadening our capabilities and serving customers regardless of the geographic location. 24:39 Second acceleration will be achieved through innovation, a topic I’m particularly passionate about as the former Chief Innovation Officer. Barry Callebaut firmly remain a leader on innovation, catering to trends like plant-based sugar reduced or better for you and create a future of sustainable chocolate solutions. 24:58 Through scale, leveraging an efficiency along the value chain, I see as reinforcing our cost leadership. And create value for our customers, better than anybody else. And last but not least, we offer customers industry best impact for sustainability programs. Through forever chocolates, which are as proud to launch back in twenty sixteen myself, we became the leader of the movement to make sustainable chocolate the norm. In the coming years, this is how we will create value for our shareholders. 25:32 On December three, we will publish our fifth forever chocolate progress report. Providing a full overview of the progress we are making against these heart commitments. Let me give you already a few highlights of the achievements in the past year. Achievements, I, and all my colleagues are very proud of. 25:54 First and foremost, we lifted close to two hundred fifty thousand cocoa farmers in our supply chain out of poverty. Two hundred and fifty thousand cocoa farmers. We have reduced our carbon intensity by more than seventy percent since twenty sixteen. 26:11 Our child labor monitoring and remediation system is covering over two hundred twenty thousand farmers in Côte d’Ivoire, Ghana and Cameroon. And in twenty twenty, twenty one forty three percent of our products sold contain one hundred percent sustainable sourced cocoa and chocolate, but as said, stay tuned for more details, which we will share on December 3. 26:36 At Barry Callebaut, we are committed to nurturing an inclusive environment. This is why we launched in January twenty twenty one, one we see our diversity and inclusion strategy. It sets ambitious measurable targets to improve our gender balance and culture diversity at senior management levels by twenty twenty five because we are making progress, but we are not there yet. 27:03 Let me also say a few words about governance in our Board of Directors. All members will stand for a reelection for another term of office of one year. The Board of Directors proposed to elect at AGM in December Antoine de Saint-Affrique as a new member of the board. You all know Antoine well as he served as Barry Callebaut’s CEO from October twenty fifteen until August twenty twenty one. 27:28 We also recently announced changes to the executive committee. We have been able to fill all positions with talent coming from within the organization, and people with whom I’ve working in the last years. With these changes, we have an executive team well-positioned to continue our growth plan. 27:48 Ladies and gentlemen, let me summarize and give you an outlook. We are on a track to accelerate along the value letter, and I see a lot of opportunities out there. I'm therefore confident and will deliver on the mid-term guidance. 28:07 Before we move on to your questions, let me say a few words related to our twenty fifth year's anniversary. In nineteen ninety six, Klaus Jacobs had a vision to merge two iconic chocolate makers. Callebaut and Cacao Barry to build the world best cocoa and chocolate company. During the past quarter of a century, we have consistently built on a vision to become the leading manufacturer of high quality chocolate and cocoa products. 28:37 Our story of the past twenty five years is of course above all a story of our people, our over twelve thousand five hundred Barry Callebaut colleagues, their customer focus, and entrepreneurial spirits have been a driving force behind our successful growth journey. So, big, big thank you to all of them. 28:57 And with this, ladies in gentlemen, I conclude this presentation and would like to open up the floor for questions. Operator, could you please …
Operator: 29:06 This is the conference call operator. We will now begin the question and session. [Operator Instructions]
Unidentified Analyst: 29:40 [Indiscernible] I have a question on inflation environment you have, where do you see strong cost inflation, what is covered by your cost loss and maybe as a reminder, your cost of goods sold are about eighty five per percent of your sales would be displayed raw materials, energy, freight, direct labor, just roughly?
Ben De Schryver: 30:05 I will, if you allow me Peter, I will start and then please chime in if I missed something. First of all, indeed, there is if inflation around in the market, but I want to reiterate that our cost plus model is covering that as well. Because overall, the way that we price to our clients is not only just the raw materials, but is of course covering the freight cost and so on as well and the manufacturing cost as well. So, we are best weather in an inflation environment. 30:35 We just – we’re running a global business as well. Yes, it is fair that we see more inflation in North America and in Europe in areas, where we not used to it anymore, but in the same time, we're also running a business in Asia Pacific or Latin America, where we're very used to inflationary items that can go up to a couple of percent as such. 30:58 Overall, we are very well weathered. And yes, you're right, in terms of the overall cost, raw materials is the biggest part of it. I just want to highlight something there on the raw materials inflation. We have not seen it in cocoa. You saw it also on the cocoa bean prices. Actually, cocoa as a key cost factor towards chocolate production, actually has remained quite stable, quite low, compared to historical averages. That's something we have not seen in other soft commodities as well. 31:29 So overall, there, when you look at the majority of our cost, it is in the raw, not necessarily in manufacturing or energy prices, so but nevertheless, we are best positioned with our cost plus model.
Unidentified Analyst: 31:42 Do you give the split of your costs?
Ben De Schryver: 31:45 Yes. So, we don't give specific splits on it as well, but what I can say is that the majority is raw materials.
Peter Boone: 31:55 And no surprises for our customers. We have long term partnership with our customers. They know the way how we build our contracts with the open costing. And in that sense, we are of course in daily interaction with them, we are customer focused business. We are looking with them at solutions, but on the raw material side, they know we work with a cost plus model.
Unidentified Analyst: 32:19 Thank you.
Unidentified Analyst: 32:29 About your outlook. So, you've confirmed your mid-term outlook of five percent to seven percent volume growth. We were below for the first year of your three year cycle. So, can we take that to mean that this year, you're expecting to see an increase over what we've seen in the past then?
Ben De Schryver: 32:49 Thank you, [indiscernible]. Hey, we don't give kind of annual guidance. It's a midterm guidance, but we are absolutely confident with the results we are presenting today that we have the momentum to deliver on a mid-term guidance. Of course, on the one hand, you see our chocolate business growing at six point five percent. It gives us a lot of confidence that's broad based across our regions. 33:18 We see Gourmet accelerating, and we believe that the challenging market environment we face in cocoa. We are successfully navigating that, but we also believe there's a time where we will get out of our debt and that will help us to deliver against our mid-term guidance.
Unidentified Analyst: 33:43 Thank you. It's [indiscernible] from UBS. And two to three questions, please. The first one, would be, if you look on your chocolate business in total, do you feel comfortable with the product categories you have at the moment between Gourmet that is also for the next five to six years or is your strategic roadmap also considering new categories you want to enter? This would be the first question, please. Shall I take it step by step or how do you prefer it?
Ben De Schryver : 34:07 I can take this one. So, let's say this, we are a chocolate company. We are the leaders in high quality cocoa and chocolate, no chocolate without cocoa. In that space, there is still a lot of growth. So, please understand me well. Yes, we are innovating. We try to create new products, but our core business is the core business of chocolates and cocoa. And there, I believe we still have so many opportunities that we can drive our growth in line with our mid-term guidance for the years and years to come. 34:46 Of course, we have launched an Elix product, that was a very interesting product for us because it is based on the deep expertise we have of the cacaofruit. Of course, the cacaofruit, it producers the cacaobean, which is important for chocolate, but has much more in that and leveraging that on the one hand to bring a new product which is quite a nutraceutical. 35:11 But also, of course, as a way to commercialize the cacaofruit further in an attempt to bring more value to our farms. So, but the key messages we are a chocolate and cocoa company, and I see that driving our growth for the mid-term.
Unidentified Analyst: 35:28 And then maybe a second and third question if I may. And the second question would be please on Gourmet, I think it was the target to grow it by high single digit, and do think it is this still valid for the next couple of years? And if yes, can you give us some concrete examples, new regions you're entering, new customers, which you are exploring at the moment that you're making progress?
Ben De Schryver: 35:53 Yeah. It is amazing the performance we see at this moment in Gourmet around the globe. And it is pretty broad based. I think that thing – our whole business, I think, but definitely also the Gourmet team has taken the pandemic as an opportunity. They have looked at of course, where the market was going down, the distribution channels were going in lockdown, and they were forced to look at other segments, other customers, other regions to grow. 36:27 To call out the number, we have added in last year three thousand new customers in the Gourmet business. That's a lot of new customers with which to grow. And we have entered new regions. I can just tell my personal experience. We were not that strong in Northeast Brazil. 36:40 We have successfully just entered that region and are gaining our share. So, we have added or from a geographical point of view or from a customer point of view, we have added new levers of growth and you can imagine if now all the old and traditional distribution channels come back that will further keep driving our Gourmet business. So, I'm confident that that will be one of our key growth drivers going forward.
Unidentified Analyst: 37:16 Thank you. And the last question, if you allow me, it's a technical one. In your food manufacturing business, do you see prospects to improve your gross profit margin there or will volume discounts offset the mix benefits going forward?
Ben De Schryver: 37:31 Food manufacturing is a big business for us. It's seventy percent of our business So, also there we are driving a mix. So, we are driving mix from a customer mix point of view, we also driving mix from a product point of view. So, absolutely, everyone working on food manufacturing has also the objective to drive smart growth. And look to see how we can drive for growth, but definitely in a profitable way.
Unidentified Analyst: 37:59 So, you're confident to improve your gross profit margin in FM?
Ben De Schryver: 38:02 In the end, maybe drive to a guidance on the overall business, and of course, we have certain part of our business, which are more accretive than others, but also within the FM business absolutely we cannot afford to not drive for increased profitability.
Unidentified Analyst: 38:21 Thank very much.
Ben De Schryver: 38:21 If I may add to that point as well. You asked a question about Gourmet, of course, we want to grow Gourmet faster because that's overall in the mix, but Gourmet can also not live without food manufacturer. Can also not live without cocoa. It's very important that we work on the three areas, not only on just one division. And for food manufacturers as well, there is a lot of intimacy that we have coming from the chef world, from the artisans, that's actually giving us lot of capabilities and opportunity for margin as well to the larger FM clients. 38:58 So, that's very important that we have that – that's the nature of Barry Callebaut of the three divisions working very well.
Peter Boone: 39:04 It’s a very important point Ben is making because that's what we try to capture with accelerating of the value letter. Because hey, there's still a lot of doors we can open in chocolate and cocoa around the globe, but we’re also sitting at a table with a lot of customers. To further add value to those customers and add value through sustainability programs, add value through innovation, add value by showing where trends are going in Japan or in Santiago de Chile, that's the way how we start to add more and more value to our customers. In that sense, it's a driver of our smart growth strategy. Thank you.
Pascal Boll: 39:50 Yes. Good morning. This is Pascal Boll from Stifel. I have a couple of questions. So, first of all regarding profitability, you increased EBIT per ton this year by twelve percent, but you are, even though you are volume wise on twenty eighteen nineteen levels, you are in terms of EBIT per ton still below those levels, do you expect to reach these old levels or is it something that will persist at those levels we see right now?
Ben De Schryver: 40:19 I will start answering. First of all, as you noticed as well there is still a translation currency impact. So, when you go back in time as well, there is also a translation impact of that. So, we are still slightly below on EBIT per metric ton compared to eighteen nineteen, but not that far. Definitely it is the ambition to regain as part of our midterm plan as well that we want to be above on EBIT level compared to volumes. So, yes, indeed. EBIT per metric ton should go up.
Peter Boone: 40:50 And let me use one example there, because we have seen that the cocoa business is a challenge business in terms of market environment, but still that team well, their business were slightly declining. They still focus the loss on the premium powders, they still focus a lot on the blended part of their business, and they were able to increase the, kind of EBIT per ton throughout the last year. So, it is throughout our business. We are always trying to find that at a value. And I'm sure therefore, we will restore where we were before COVID.
Pascal Boll: 41:29 Okay. Thank you. Next question regarding your outsourcing pipeline, can you elaborate a little on that? I think you mentioned that due to the pandemic, a lot of projects got delayed, should we expect an acceleration now again or is this, do we see the usual course?
Peter Boone: 41:47 I'm nine years with Barry Callebaut and it's, you can never fully predict with what kind of pace the opportunities will arise, but they will come through and even in the pandemic, we have seen that we could deliver thirty two thousand tons with three new outsourcing long term agreements. We have renewed the partnership. I'm personally very proud on that. The partnership with Hershey. 42:16 And yes, also this pandemic has challenged a lot of customers, always reviewing how they can become more efficient? How they can set themselves up for success for the future? And outsourcing is in many cases also part of our discussion with them? So, we have a guidance of thirty thousand to forty thousand tons per year. We are comfortable to keep delivering it.
Pascal Boll: 42:40 Okay. Then on Gourmet & Specialties, you mentioned you added three thousand customers from how much of the volume to these three thousand customer account and/or in other terms at what discount of usual capacities do your old customers at the moment run their business. So, what can we expect when old business returns in combination with new business going forward?
Peter Boone: 43:09 I hope I understood your question well, but yes, three thousand new customers really in new segments where our Gourmet team identified customers out there, which absolutely were in need of our service of our products of our services. And that has been good business for us. So, I hope that we can sustain those customers that we keep them with them, as long as they are profitable, well, the traditional business will come back.
Ben De Schryver: 43:45 Pascal, if I just might add, overall, the new customers that we have added overall, the different segments have been going with Gourmet is still accretive to the overall result of Barry Callebaut. It's still very interesting as well. There are differences that there are higher end chocolatiers and so on. There are some donuts and others players and so on, different products, of course, different geographies have a little bit different profitability, but for me the key message is that it's still accretive to do overall Barry Callebaut, and definitely very interested to go. And it's definitely your plan to keep our current customers and our new customers.
Pascal Boll: 44:27 Okay. Final question for you, Peter. You mentioned you want to expand along this value added letter, can you give us some concrete examples because in my understanding Barry Callebaut has been very innovative in the past. So, where do you see here the opportunities? Do you have to spend more money on R&D going forward? Or do you reallocate resources or how do we should imagine that?
Peter Boone : 44:55 As shared in the presentation; we believe there are various levers for accelerating of the value letter. Innovation, absolutely is one of them and I believe by being customer focused by diving deeper into the needs of those customers. I think, we can still sell much more of those innovations than we ever have done in the past. So, in that sense that's acceleration. 45:21 As you all know, ESG sustainability is very, very important. So, we believe with our sustainability solutions we are able to add value to our customers as well, but the oldest lever of our strategy is of course leadership. And I still believe also even through cost leadership. 45:41 In these times, where a lot of our customers are challenged, we can add value. So, accelerating of the value letter is really about adding value to our customer relationships. You know, we have an enormous reach. We sit with a lot of customers in need of chocolate around the world, adding values through innovations, through sustainability, through cost leadership, but even leveraging our global footprint, I think they are still, we are only stretching the service and are still much more that we can do, than we do today.
Pascal Boll: 46:14 Thank you.
Unidentified Analyst: 46:18 [Indiscernible] Thanks for taking my question and welcome to the financial community. The first one is on where do you want to put your priorities? You repeated couple of times today, the smart growth strategy. You are running the Americas quite successfully; I think South America was really a huge success last year. If you can share with us where you want to put your priorities and maybe to share some best practices with the rest of the business? 46:50 The same probably with regard to sustainability where you want to accelerate, we saw some companies in the consumer goods industry, which accelerated the sustainability plan and kind of targets a bit earlier than before? 47:06 And the last one, I saw some headlines this morning that you won three thousand clients, I think that's right, if that's accurate, where was that probably in which divisions was that new contracts, new outsourcing contracts where you gain market share and maybe as well in terms of tons, what does that represent?
Peter Boone: 47:28 Okay. Let me – thanks. So, let me start by learnings from the Americas, but please be reassured that is well reflected, of course, in strategy we are driving together. And we are a big company, which we are so small off to share our learnings. 47:49 My experience in leading the Americas is exactly as we described here. We are a growth company. So, we have always been very focused on our customers, very active on the front line and powering frontline people to come up with new opportunities. 48:09 We have been selective in which one in the end to sign up for, to really to drive the mix because it's the easiest way to deliver our mid-term guidance. If you find the growth and drive it with the right kind of mix, it's the best way to get to the guidance. And then I think we spend a lot on execution with our growing business. 48:31 I always say, my mother told me one thing and that’s Peter, if you promise something, please do it. And that's at the heart of Barry Callebaut. We are a business to business company. So, without growing business, it's very important that we deliver on our promises. 48:46 So, go after the growth, do it in a smart way, but also be ready to execute against it because we cannot disappoint the customers out there. So, that's the first question. On sustainability, we see of course an enormous interest, but that's not that we have started this journey yesterday. I'm very proud that in twenty sixteen, I started, and I launched for chocolates, started that journey before even Antoine joined us because we felt we need to show as a leader in our industry. 49:24 We need to show that we can grow in a profitable way. We can really be very successful, but still have a positive impact on the world around us. That's why we launched very impact focused time bound targets forever chocolate and those targets are still from the center in our strategy. So, we drive against our own impact. 49:49 And we will keep doing that. Very important, of course, is to also get our customers engaged and on board. Because we always said, we can't do it enough alone. We need our suppliers; we need the governments and we absolutely need our customers. And what I'm very happy with is that we see a lot of customers just ramping up their programs, spending much more time with us to find the right solutions and it's up to us as a leader to guide them in the right direction, but the impact we are after in the end is captured well in forever chocolate. And on the third of December, we report back on our progress there. 50:34 And then on the three thousand customers, I think we just highlighted a little bit, it's three thousand customers for our Gourmet business. This has also happened. Let's be clear for other parts of our business. 50:49 Yes, it was done in an agile way. So, if I’m proud looking at the business performance in Americas, we were pretty quick to accept where the decline of the business came and then to complement it with new customers with new segments. And of course, we are learning from some of those customers. 51:08 There could be customers, there could be some segments where we say, hey, this is not exactly where we should be, but in general, what surprised me. And that's in all kind of very throughout our business. We have become a stronger business out of this pandemic. We have identified new opportunities, which we were too busy with our existing business to really pay enough attention to. 51:30 And we see now that the business we have added. I'm comfortable that a majority of that business we will sustain. And with the traditional kind of distribution channels opening up again, that will keep accelerating our growth.
Ben De Schryver: 51:44 If I just might add to that point as well, you were of course held by our digital tools. If the crisis COVID pandemic would have happened ten years ago, fifteen years ago, it would have been much more difficult to find new customers, but now we're using sales force salesforce platform. We have our digital sales platforms. We have our digital collaborations with our clients, with our chefs and so on as well. And that has helped to find new customers as well.
Peter Boone: 52:13 Yeah. And I always say to my team, on the one hand, as a moment to be proud on, but also to as a moment, just to see the potential. I say, hey, we are at most in one out of four chocolates in the world. There's something of course to be proud on, because that's a lot of chocolate, but it's also showing the head space. Yes, we want to develop the markets. We want to develop the markets in value, but there's also still a lot of share we can gain.
Claudia Pedretti: 52:42 We are also having questions from the phone lines. Operator, if you can please put them through.
Operator: 52:49 The first question comes from Jon Cox from Kepler. Please go ahead.
Jon Cox: 52:54 Yeah, thanks very much. Good morning, guys. Apologies I can't be there. Congratulations on a decent print there, and I think your comments on maintaining the targets and the sort of focus on smart growth is very reassuring for the market. And obviously that can be seen in the stock price. A couple of questions for you. Just on sustainability, I know you had a net zero or a carbon neutral goal by twenty twenty five, that's obviously much better than a lot of your peers there are talking about two fifty. 53:28 Just wondering where you are on that? Are you still relatively confident it be somewhat your land on that around twenty twenty five because I think that would be a fantastic achievement and very, very important for investors? And obviously for your customers. Second question, just on Gourmet, you mentioned this three thousand figure, just wondering what your total Gourmet client base is, is it like fifty thousand or one hundred thousand, just to give us a bit of feeling for what you've had it? And the last question, just a roll back into what one of my colleagues were saying, how much do you think of your pre-COVID business has gone or is down? 54:09 Is it something like ten percent is still down and you've made that up with new customers and you would expect that ten percent to come back as things normalize, which obviously we give you some great tailwinds going into FY twenty twenty two and FY twenty twenty three? Thanks, very much.
Peter Boone: 54:31 Thank you. So, yes, as said, on the third of December, we give an update for our chocolate plans so the progress report. As just here, I think this presentation, we have reduced carbon things, [indiscernible] seventeen percent, which is a significant and much better than seen by others, that's also why CDP again, gave us a top ranking for the third year in a row on that aspect. 55:00 We have a plan to hit our numbers. Of course, we have an enormous exposure to length, which offers opportunities, but also I guess it’s challenges. And I will, I think we are working against our target. The beauty of Forever Chocolate is that we set targets, it’s made us all nervous, but unleashes a lot of creativity. 55:25 It's great. It unleashes a lot of IDs, which really make us on most fronts, just making a great progress, but more detail on that front on the third of December. We are excited to share in really various data points of our progress. 55:42 How many customers Ben?
Ben De Schryver: 55:44 Yeah. Jon, I cannot answer that part. Also, I don't have the data with me. But overall, as you know, our Gourmet business is a business of artisans, it’s a business of food service. It is a business of small and medium sized companies. So, it is a large pool of clients and that's very important as well in different segments. It's not only in HoReCa, yes HoReCa hotels restaurants are important, but it's wider than that. It’s bakery, pastry, and as on as well. 56:16 So, I will not comment on the specifics on how much is still there, because I simply don't have that exact number available.
Peter Boone: 56:27 Yes. And just on impact, you have seen the impact of the pandemic on our Gourmet business last year and through our numbers. There are certain segments, which have been heavily impacted. For example, in my Americas business, the cruise liners, that’s not a great business or that was not a great business to be in, is a little bit of sun on the horizon and are more travel, of course, out of home. 56:55 My assumption is that the markets will come back. Whether it's exactly through the same customers, that's a question. But the markets will come back because we see the consumption of chocolate just sustaining itself pretty well, even growing. And therefore, we believe that coming back of distribution channels, will be a big kind of growth driver behind our business in the years to come.
Jon Cox: 57:23 And you can't give us a figure of how much you think is still missing from that pre-COVID client base or customer base?
Peter Boone: 57:33 You know me, Jon, I'm not guessing. So, it's very difficult. And it's also depending a little bit on different geographies, depends on – Asia is a little bit different and now with a bit some more difficult times in Southeast Asia. Europe was already reopening. Now, we have quite a bit more restrictions coming up. So, I'm not going to guess at this point Jon.
Ben De Schryver: 58:04 But there is upsides in there. There is upsides in there, hey, look at our own travel agendas. Now, Asia now starts to open up. But that's still another region, which has been heavily in lockdown. And therefore, also will show potential in the months to come when we open up.
Jon Cox: 58:26 Great. Thank you.
Operator: 58:30 The next question comes from Lauren Molyneux from Citi. Please go ahead.
Lauren Molyneux: 58:38 Hi Lauren here. Thanks for taking my question. So, I just wanted to go back to on one of your slides, you have the gross profit bridge, and you mentioned that there is mixed contribution from both G and S and also, you see more value out from industrial customers. I was just wondering if you give an estimate of the split between these two in terms of contribution to growth? And then maybe also on that value outside industrial business, where you seeing this appetite coming from in terms of customers? Is it more of the larger customers or the smaller customers that are focusing on this? 59:18 And then my second question is around your expectations for your commodities into next year? And there’s already little been a question or two on this, but just wondering how we should think about Telco and some of your other soft commodities developing into next year? Thank you.
Ben De Schryver: 59:37 Thanks, Lauren. So, first of on the gross profit bridge, as you pointed out, of course, we're growing in terms of volume, but the mix is very important, and no surprise that it's a mix because of Gourmet growing strongly again. So, but also within the FM business, as I pointed out, we are also growing their overall margins. Because we have been looking at more premium products there as well. 60:05 The cocoa side, yes, the overall volume was down, but it was compensated by focusing much more on the premium cocoa powders that we're sending under the [indiscernible] brands. We had some interesting launches with an all-natural darker cocoa powder as well. So, that's part of the mix activities that we're doing as a company. 60:26 On your second question…
Peter Boone: 60:29 Maybe I can take that one, you take the last one again. So, interest in the value-add. Let's say, we segment customer base as well. So, absolutely there are customers out there who will just want to have a price discussion for the cocoa powder or the chocolate, but in general, the demand on our customers on innovation, on sustainability are not getting less. That whole kind of strength of mindful and diligence. 33:18 So, in diligence is, of course, always here to stay, but yes, they care more about their environment, they care more about their own health and our customers need solutions for that. And therefore, we see the rates, and the pace of innovation, increasing. 61:16 Still some of our customers would say, hey, we can do it ourselves, but we see a lot of customers reaching out to us to help, to ask our help and therefore, we are comfortable, we are able to add value to a significant amount of them.
Ben De Schryver: 61:33 Thank you. Very good sir. So, on expectations in terms of commodity, let me touch based on cocoa that of course, that's our core business that we know the most of. I’m not an expert overall in forward looking statements on sugars or dairy, but in cocoa, there was a surplus. So, we had a very good botanical crop, we had a good supply of cocoa beans. 62:04 So, I don't know the latest estimate, but it was something around hundred thousand tons surplus this year. So, of course, that is going to be a little bit of an overhang in the next coming years. We expect the next year to be much more balanced. So, we don't expect a huge surplus coming out of the cocoa beans. 62:04 Because, of course, coming out of COVID-nineteen as well, the consumption has normalized now as well. So, it is much more balanced, but also not negative which is good news for us.
Operator: 62:41 The next question comes from Andreas von Arx from Baader. Please go ahead.
Andreas von Arx: 62:47 Good morning. I start with a housekeeping question. The increase in corporate and unallocated EBIT to above one hundred million is a bit more one time or is that a sustainable increase? That's my first question. Second question is, on your outsourcing growth that you show in your presentations. I mean, this has been four point five percent for the full year, but five point five percent for nine months and one point eight percent for the first half, so roughly this gives you one to two percent growth in the fourth quarter and more than ten percent growth for the third quarter. 63:24 The question here is, is that just quarterly shift we can see as normal business or what do you see as your current underlying growth rate in the outsourcing business? And then finally, question for Peter Boone. Maybe, I would like to get a bit more meat on the bone on your smart growth strategy and your priorities how to execute that? I mean, maybe to provoke you a bit what you told did sound a lot like what we heard before and not a lot really new stuff. 64:02 So, I would like to know to what extend is the Peter Boone Barry Callebaut acting differently going forward as compared to the Saint-Affrique Barry Callebaut we have seen in the past, what are the key projects you have been outlined to the port and the employees to keep your employees motivated and excited in terms of delivering on that smart growth strategy? Thank you very much.
Peter Boone: 64:31 Hey, Andreas, if I may because I didn't quite understand your first question, what were you referring to on the EBIT side?
Andreas von Arx: 64:40 Yeah. On the EBIT side, you have the EBIT per division, and then you have a corporate unallocated negative amount, which is a bit more than one hundred million and which has been below around a million year before. So, there's an the increase of six million to seven million, mainly in the second half, anything one off in…?
Ben De Schryver: 64:59 No, there's not one off. So, of course, we also have – we have a corporate division, so we have a regional view and then we have our corporate cost as well. Fair to say that the corporate cost has increased, but of course, also we are doing more corporate activities as well. We are doing also more corporate marketing activities in terms of research and development as well. 65:25 I think we are at a good level now. It's nothing extra extraordinary, but there's also not one offs there that is not going to return back the following year. So, it's an overall, quite solid and well-controlled corporate cost structure that we have as a company our size. 65:46 Now on the outlook. So, Andreas, I cannot give you specifics quarter-to-quarter that would not be wise to do so. We give a mid-term guidance. We are very confident in the outlook there as an executive team together with Peter. 66:08 We know the opportunities are out there. So, there is no lack of opportunities out there. Me and CFO, we always look together with the finance community and the business, of course, at the right trade-offs. So, not every business as Peter was saying is effective to us as well. 66:24 It would not be wise for us to suddenly change our overall viewing in terms of growth. Also, a little bit linked to the outsourcing part as well. First of all, it's a zero one game where we, it's very difficult to predict, but we are also very diligent about it. It's not, it needs to be a win-win. It needs be a win for Barry Callebaut, it needs to be a win for client as well. 66:46 So, it's not just going blindly after volume growth. So, that's why we are very confident that our five percent to seven percent overall growth, and acceleration on the EBIT side is the right approach for us, and we would always carefully look at every opportunity.
Peter Boone: 67:05 All alright. And then I probably have to take this third question. Thank you, Andreas. So, let's start by saying that, I'm nine years with Barry Callebaut have seen different part of our business, have been Chief Innovation Officer, have been leading the sustainability and crafting. Our agenda on sustainability have led quality. I have seen the factories and then had four years leading the Americas. 67:35 So, I've always been part of the executive team and it's not just a CEO. It's always a leadership team together with the full organization that sets the strategy and execute that on a day to day basis.
Ben De Schryver: 67:48 Hey, personally, Peter. I've seen yes, all corners of the world in my career, I've seen different functions, but I'm a marketeer at heart. I'm always out there. I love our customer focus. I love to look at the markers to see where the trends are going for the future. In that sense, I see a lot of opportunities and bring at least a positive outlook to our colleagues and to our employees. 68:18 Second, that's in line with Antoine. I'm also fully endorsing, of course, our ambition on sustainability front. There, you will see me driving the agenda as hard as Antoine has been doing. So, in general, what’s different? Change is not always better. I think, if you have a very successful strategy, which delivers then, please keep executing. 68:47 That's where we focus on executing strategy very well. And of course, preparing ourselves from adding more value to our customers because our customers want to see more of ourselves. If you talk with our customers. They appreciate Barry Callebaut. They love Barry Callebaut about, not only for just the chocolates we provide, but really for the expertise we bring to the table for the innovations and I think we can definitely do more and bring all that expertise, all that knowledge and excellent products to our customers. 69:18 And there of course, my experience on the ground as a president being day to day with our customers. I think will bring a lot to help inspire the organization.
Operator: 69:36 The next question comes from Alex Sloane from Barclays. Please go ahead.
Alex Sloane: 69:42 Yeah. Hi morning all. Apologies, I can’t be with you in person. A couple of questions from my side. Just on the global cocoa business, in the statement, you refer to an EBIT per ton growth in the absence of some of the impacts from higher energy and freight costs. I wonder if we can infer from that that you see those costs as largely one off or should we be expecting them to continue in the next year? That would be the first question. 70:20 And the second question, I mean, just in terms of the food manufacturer business, I think the height of the pandemic, you called out some margin mix pressure in that business as kind of smaller customers we're losing some share relative to multi-nationals, I wonder has that trend reversed or do you expect that to continue to reverse and could that be a margin tailwind for you over the next few years? Thanks.
Ben De Schryver: 70:55 Let me take the first question. Indeed, Alex thanks for your question. You're referring to what we disclosed in the presentation here that we are in cocoa, we were hit by higher energy cost and by logistical pressure. First of all, on the energy part, it was for a specific reason we had to be operating a large grinding operation in West Africa. And over the summer, we didn't have enough electricity, so good thing is that we are prepared for these things. 71:29 It's not the first time it happens. And also, that's why we didn't put it as a non-recurring item because things happen when you operate in origin countries. Luckily, we have generators to keep our production going. So, when there was no electricity, we were able to continue our operation, making sure that our clients were served that we had continuity, but it came at a cost running your factory on generators cost you more than then running it on electricity. 71:59 That's what we wanted to do highlight. Will it not happen again in the future in the next two years? I don't know at this point, but it was important to put that extra highlight. On the freight cost itself, I would say it's – if you would have asked me six months ago, I would have said, we are already out of it by now, but I'm sure, every CFO will say the same. 72:24 Yeah, it is safe to stay longer. In the meantime, also in the cocoa business, we are pricing it into our contracts in our cost plus. So, it's not that we were not able to pass in on, but it has a delayed factor as well. So, because typically we are in a forward business there. But very difficult to judge what's going to happen in the future on the logistical sites. But I want to stress something and this is very important that I say this because during all prices, but also the supply issues and containers being misplaced. We always have been able to supply our clients. And that is worth a lot of money as well in the future. 73:09 When you can show as a global supply with your global footprint that in times of crisis, in times of pressure that you can supply, that's worth something for clients in the future.
Peter Boone: 73:21 Absolutely. And it's amazing to see when a team gets challenged. [indiscernible] couple of solutions there can operate. So, yes, you see a little bit more stress on faces of the coffee machine, of those working in logistics transport, but they come to solutions. And I just picked up last week that from very little town I'm from in Holland, we just chartered a boat which was going to bring products from facing it to the Americas. 73:48 So there are all kind of new solutions refined also in this space, but most importantly, we get our products out there. We get our products to our factories and so that we can produce and we get our products in the end to our customers. So, a lot of customers also reach out to us to ask our help just to support them in that area. 74:10 Then on FM, I always say the luxury, I worked over the years of my time of my life in Unilever. So, I was betting on one horse. The beauty Barry Callebaut is that we are active along the whole spectrum of the smallest customer out there in the high street to the biggest one. And yes, we saw the pandemic that some consumers respond to uncertainty by getting back to what they trust the most and at a little big brands. 74:41 So, you saw big brands coming up. You saw also trends, which I case it is a little bit better to the big player. So, for example in my market, the U.S., everyone got crazy in baking chocolate cookies. So, there was a lot of chocolate chips, which were sold. 74:57 You see those trends now reversing again. So, still a lot of the big companies keep strong positions, but we also see a lot of smaller ones, again gaining pace. So, up to us to keep up with that. That's the Agile company you want to be. We want to be there from the smallest to the biggest and therefore we will see in the end, we will be in the market.
Operator: 75:30 The last question for today comes from John Ennis from Goldman Sachs. Please go ahead.
John Ennis: 75:35 Hi, good morning everyone. And thanks for taking the questions. Just a couple of follow ups for me. My first is on the EBIT per ton outlook. Your EBIT per ton is around twenty Swiss francs lower than the pre-COVID levels, which has already been referenced today, but I guess what would stop you correcting that gap in FY 2022, if any, maybe you could give us a bit of a timeframe with regards to the recovery there? 76:00 And then my second question is just to come back on the sustainability plans, as it's been referenced, you still have a reasonable way to go in order to reach some of your targets there. I appreciate that you'll coming back on this topic in December, but can you give us some of the key headlines behind the big initiatives to close these gaps? 76:17 And Peter, given that you set up the forever chocolate roadmap, if you think back to when you laid out the plans in twenty sixteen, are where you would have expected to be by twenty twenty, twenty twenty one versus the initial roadmap for what we had or we below, a bit of color there would be helpful? Thanks.
Ben De Schryver: 76:36 And let me start. Thanks John. So, on EBIT per metric ton, again, I want to reiterate, of course, there is a translation impact as well over the two years period not only over the one year period, but it's fair to say that we are still a little bit behind as well. We strongly expect EBIT per metric ton to go up as that's of course our midterm guidance that we have, and that we can definitely accelerate as Peter was saying along the value ladder. 77:08 I'm not going to go into specific quarters as well, but you heard it as well. Gourmet is back on track. Gourmet is back into growth more. And it's an important contributor to overall EBIT per metric as well. And that's a little bit, but I was talking about the three divisions are important, but it is important that Gourmet keeps on growing faster than families growing faster than cocoa. 77:32 And that's how you should look at the overall profitability between per metric, between the different business units. But again, not saying that our focus should only be on Gourmet at the same time. Because also Gourmet, beyond things already said earlier, Gourmet also needs the footprint of FM. 77:52 That's also the beauty when we go into certain markets when we grow in China for example, because I spent quite a bit of my time in Asia Pacific. You need to have a footprint. You need to be close and close to the market. You have to have feet on the ground. And you do that with typically with FM customers and you use that to manufacture Gourmet products in a very efficient way as well, and reaping the benefits in EBIT per metric ton, by having those combinations.
Peter Boone: 78:20 On sustainability, yes. So, in twenty sixteen when we sat down and said, hey what to do in this area? Of course, we brought quite some Unilever experience to the table also. Where we learned it, you have to set ambitious targets. Targets which makes you nervous because the solutions we need to really be a positive impact on the world around us need to be quite relatively different. 78:52 We also said, we cannot do everything. So, we were very focused in four areas. And we said right away, we are going to report on this very openly because there must be areas. Where we are going to make a great progress, but most also the areas where we struggle and where we will see maybe a gap arising. 79:13 At this moment, that's too early, the targets are still out there, we are still looking at them and working on every day to close the gap. You will hear on the third of December our progress, very proud on our progress on carbon, very proud on our work with farmers, very proud on the sourcing of our sustainable ingredients. So, there's a lot to be proud on and a lot of areas and a lot of work still to be done, but will literally have a couple of years to do so.
John Ennis: 79:45 Great. Thank you.
Operator: 79:53 There are no more questions in the queue. Please go ahead.
Claudia Pedretti: 79:58 So, thank you all for being here today with us in Zurich live and also on the webcast. For those who have the pleasure to be here, we invite you and have some of the chocolate and the latest innovation to taste, but thank you very much for joining us at the conference today. And if there are any further questions, please reach out to us. Thank you.
Peter Boone: 80:20 Thank you.
Ben De Schryver: 80:21 Thank you.